Operator: Good day, and welcome to the Verra Mobility Corporation Fourth Quarter 2021 Earnings Call. My name is Jenny and I will be your conference operator today. Today's conference is being recorded. At this time, I would like to turn the conference over to Mark Zindler, Vice President of Investor Relations. Please go ahead, sir.
Mark Zindler: Thank you. Good afternoon and welcome to Verra Mobility's fourth quarter 2021 earnings call. Today, we'll be discussing the results announced in our press release issued after the market close. With me on the call are David Roberts, Verra Mobility's Chief Executive Officer; Tricia Chiodo, our Chief Financial Officer; and Craig Conti, our newly appointed Incoming Chief Financial Officer. David will begin with prepared remarks, followed by Tricia, and then we'll open up the call for Q&A. During the call, we will make statements related to our business that may be considered forward-looking, including statements concerning our expected future business and financial performance, our plans to execute on our growth strategy, the benefits of our strategic acquisitions, our ability to maintain existing and acquire new customers; expectations regarding key operational metrics and other statements regarding our plans and prospects. Forward-looking statements may often be identified with words such as we expect, we anticipate, or upcoming. These statements reflect our view only as of today, April 21st, 2022, and should not be considered our views as of any subsequent date. We undertake no obligation to update or revise any forward-looking statements. Forward-looking statements are not promises or guarantees of future performance and are subject to a variety of risks and uncertainties that could cause the actual results to differ materially from our expectations. For a discussion of material risks and other important factors that could affect our actual results, please refer to those contained in our annual report on Form 10-K, which we are targeting to file tomorrow and will thereafter be made available on the Investor Relations section of our website at ir.verramobility.com and on the SEC's website at sec.gov. Finally, during today's call, we will refer to certain non-GAAP financial measures. A reconciliation of these non-GAAP measures to the most directly comparable GAAP measures included in our earnings release, which can be found on our website at ir.verramobility.com and on the SEC's website at sec.gov. With that, I will turn the call over to David.
David Roberts: Thank you, Mark and thanks everyone for joining us today. As Mark mentioned, Tricia will lead today's discussion on our financial results, but I'll take a moment to introduce everyone to Craig Conti, Verra Mobility's newly appointed Executive Vice President and Incoming Chief Financial Officer. Craig brings over 20 years of corporate financial management and leadership experience in global publicly-traded companies. He previously served as the Executive Vice President and CFO of Century Aluminum Company, a global producer of primary aluminum. And prior to Century Aluminum, Craig served in senior financial leadership positions with ITW and GE. I'm sure many of you will be getting to know Craig over the coming weeks and months. So, please join me in welcoming him to Verra Mobility. For the agenda for today's call, I'll start with the key highlights and trends that are driving our results. I'll also provide a status update on the integration efforts with Redflex and T2 Systems, and then I'll conclude my remarks for a discussion on recent wins and our business development pipeline. We closed out 2021 with a very strong fourth quarter as our combined businesses continued to perform well. We're pleased with the consistent execution from our teams globally and we believe this momentum will serve as a platform for acceleration in 2022. We -- our results in the fourth quarter were primarily driven by the ongoing school zone speed expansion in New York City and a strong recovery in travel in the US, which has had a positive impact on our rental car tolling business. As Tricia will discuss in more detail later, we exceeded the high end of our full year guidance range for total revenue and adjusted EBITDA, delivering 40% top-line growth, of which 28% is organic growth. Moving to our recent strategic initiatives. The fourth quarter was a strong affirmation of our strategy to drive core business results, diversify the business and redeploy capital to strategic and expansive M&A opportunities. On December 7, we closed our acquisition of T2 Systems, a leading provider of end-to-end parking management solutions in North America to universities and a growing presence among municipalities and healthcare providers. As we highlighted last quarter, T2 also provides us with a strong position in the rapidly growing curbside management market. Each of the existing market segments, North American municipalities, universities and healthcare providers represent up to a $4 billion market according to the 2020 market estimate. Cities are faced with unprecedented competition has curb with ride-share services, delivery vehicles and food trucks competing for the same valuable real estate for parking. Effective curb management solution combines a parking program with an enforcement solution. T2's SaaS offering for parking management, coupled with our existing photo enforcement solutions should enable us to help customers solve curbside challenges such as defining parking areas and dynamic rates, enforcing parking rules and handling payments in the future. While this market is still in its early stages, we expect that Verra Mobility Government Solutions segment in combination with T2 Systems, will be well-positioned to provide a holistic solution to our city and municipality customers, enabling us to expand our solutions portfolio. We're thrilled to have T2 as a part of the Verra Mobility family and our team has been hard at work delivering strong results in the fourth quarter. They secured 11 new logo municipal customers for their citation and enforcement software offering, and they continue to expand the university and healthcare customer base. Moving on to Government Solutions. In the fourth quarter, revenue for Government Solutions grew 77% year-over-year to $92 million, and adjusted EBITDA was $34 million, representing 63% year-over-year growth. Our success in the quarter was driven by the continued expansion of the New York City school zone speed program, for which we installed 312 six-speed cameras, bringing our total for the full year to 695. The remaining 25 were installed in January, which fulfilled the 720 camera commitment. I'd like to also acknowledge our announcement in early February that we officially received the second three-year renewal option of our 2014 legacy photo enforcement contracts of New York City. As we stated in the press release, the renewal includes an additional 100 red-light cameras and 150 bus lane cameras, and it covers the maintenance of the speed cameras installed under the 2019 emergency contract. In February, we also received a notice to proceed from New York City on the remaining 240 schools one speed cameras under the emergency contract, which we anticipate will be installed in 2022 and will generate approximately $11 million in annual recurring revenue once installed. We continue our integration efforts with Redflex and have adopted cohesive ways of working to pursue the synergy targets we identified as a part of the acquisition. We've achieved about $5 million in synergies to-date and believe there are $3 million to $7 million yet to be realized. However, the time line to achieve those will be longer than we had originally anticipated. Furthermore, from a revenue perspective, we are beginning to see the strategic impact in the market with recent wins like Denver, our first major city that we bid on as a collective organization and one in the first quarter of 2022. This win shows the collective power and experience of the combined organization to win key customers like Denver from incumbent competitors. As we announced on March 23, with the addition of Jon Baldwin, our newly appointed EVP of Government Solutions, we will continue to pursue additional revenue and cost synergies to deliver the full benefits of the acquisition to our stockholders. Overall, I'm very pleased with the health of the business development pipeline along with the quantity and the quality of the bid being submitted. Our pipeline combined with other positive trends in the industry creates a promising competitive landscape. One prominent example of the transportation bill that was recently enacted in Washington State -- in Washington State to be effective is July, which expands the use of automated speed enforcement and extends the sunset period for other photo enforcements through 2025. We are well positioned to capitalize on this expansion given our market position in the state with 21 existing customers. This is exciting news and a prime example of the momentum focus on traffic safety that we're poised to execute on. And lastly, I'm pleased to report a new government solutions contract win in the Netherlands in which Verra Mobility through Redflex International as a part of a consortium with DXC Technology is one of the three vendors selected to supply, operate and support fixed systems for speed and red-light enforcement. The contract has an initial term of up to six years for the supply and installation of cameras, followed by an additional term of up to eight years for the camera maintenance. We expect to start getting revenue in the first quarter 2023. In the fourth quarter, Commercial Services revenue grew 48% year-over-year to $71 million, and our adjusted EBITDA was $44 million, which was up 74% year-over-year. Success for this segment was driven by the continued strong travel recovery in the US, which has led to increased total usage. While fleet levels among our RAC customers haven't been -- haven't fully returned to pre-pandemic levels, we are seeing increased adoption of our product -- consumers opting for longer rental agreements, resulting in more billable days and increased toll rates, all of which are driving our strong revenue performance. Next, I'll provide a brief update on our European expansion efforts. The tolling program we launched in Ireland with Enterprise continues to provide beneficial information about the tolling market in Europe. We've exceeded the saturation rate in our service level agreement, and we have more than 2,000 vehicles equipped with transponders. Overall, 2021 was a great year for Verra Mobility and more than three months in 2022 is already shaping up to be another exciting year for us. As previously announced, Tricia is retiring, and therefore, this will be your last earnings call as the CFO of Verra Mobility. We are deeply grateful for her leadership and services over the past six years and wish her all the best in her new adventures. With our Form 10-K expected to be filed tomorrow, Craig Conti will take over immediately, and Tricia will provide advisory services over a 90-day transition period. As we noted in the press release announcing Craig's appointment, we have scheduled our inaugural Investor Day for July 19, which will allow Craig and John the time needed to get at the speed and fully participate in this exciting event. The conference will be held at the NASDAQ MarketSite building in Times Square, starting at 1:00 p.m. Eastern, and we look forward to sharing more details as the July 19 date approaches. Now I'll turn it over to Tricia to guide us through our financial results.
Tricia Chiodo: Thanks, David. Good afternoon, and thanks to everyone for joining us on the call. I'll start by the slides providing an overview of our fourth quarter and full year 2021 results, followed by a discussion of 2022 guidance. Looking at the big picture, there are three important takeaways. First, we are benefiting from several macro trends that are driving growth, such as the recovery in leisure travel, along with increased cashless tolling and the growing demand for photo enforcement programs in counties, municipalities and school districts. Second, our business development team across our businesses have been very busy and very successful as evidenced by the new business and contract renewal awards David described in his remarks. And third, we put ourselves in a position of strength for the future with the acquisition and integration efforts of Redflex and T2 Systems that further expand our capabilities, market segments and geographic footprint. Today, I'm going to briefly summarize the financial performance of the three segments, discuss our consolidated results for 2021 and spend more time as it relates to the 2022 guidance and the key trends shaping our plan. The detailed results by segment are provided in our press release and earnings presentation, both of which can be found in the Investors section of our website. I'll start with fourth quarter revenue. Total revenue consisted of approximately $145 million in service revenue and about $25 million in product revenue. Excluding about $14 million of Redflex and $4 million of T2 System acquisitions, we delivered approximately $127 million of consolidated organic service revenue, representing nearly 40% year-over-year organic growth and 21% growth over 2019. Government Solutions delivered $92 million of growth for the quarter, total – sorry -- of fourth quarter total revenue, along with $34 million of adjusted EBITDA. Commercial Services generated $71 million of total revenue and $44 million of adjusted EBITDA for the fourth quarter. And lastly, T2 Systems delivered $6.5 million and $2.6 million of revenue and adjusted EBITDA, respectively, for the post-closing period in the fourth quarter. Our adjusted EBITDA of $80 million increased $34.1 million for the same quarter in the prior year, and adjusted EBITDA margins were 47% in the quarter. The company reported net income of approximately $19.1 million in the quarter, compared to a net loss of $14.1 million in the same period of the prior year. Adjusted EPS, which excludes amortization, stock-based compensation and other non-cash items was $0.25 per share in the current quarter, compared to $0.13 per share in the fourth quarter of 2020. The tax provision for the quarter was $8.9 million, representing an effective tax rate of 32%. The effective tax rate is impacted by permanent differences related to market-to-market adjustments for both the private placement warrants and the tax receivable agreement. Moving to cash generation and working capital. We generated $193 million in cash flow from operating activities for the year, in large part due to changes in net working capital. We continue to make strong progress collecting outstanding receivables with New York City in the fourth quarter. At the start of 2021, we had an outstanding receivable from New York City of approximately $98 million. Throughout 2021, we invoiced New York City $146 million for products and services and collected $182 million on aged receivables. The New York City balance was $63 million at the end -- at year-end and $40 million at March 31, and we expect to further reduce our open receivable balance over the course of 2022. As previously noted, we closed T2 acquisition in December. As David mentioned in his remarks, the integration of Redflex and T2 Systems are on track. We ended the fourth quarter with $101 million cash balance and a total debt balance of $1.3 billion, resulting in net leverage of 4.3 times at the end of 2021. The net leverage reflects the company's use of the accordion feature on our Term Loan B in the amount of $250 million used to close the T2 Systems acquisition. Before I discuss our 2022 guidance, I want to provide some color around the delay and the delayed Form 10-K filing. As we previously disclosed, we determined that revenues for the company's recently acquired Australian subsidiary, Redflex, may not have been recorded in accordance with GAAP. Consequently, our audit committee began an investigation of the circumstances surrounding these issues to determine, among other things, whether any related adjustment was necessary for previously issued financial statements. Based on the results of the investigation, the audit committee determined there is no reason to believe that there was any material error in the company's financial statements. The Audit Committee also found no basis to question the integrity of management and no reason to believe that anyone in the company engaged an intentional wrongdoing. The company has already instituted new processes to shore up the control environment, identified new financial practices over acquisitions and integrated the accounting for Redflex North America into the legacy Verra Mobility control environment. You'll see in our 10-K, which we expect to file tomorrow, that we had a material weakness associated with a third-party application called Vena. This is a financial reporting tool utilized in performing certain control activities. In summary, it was determined that Vena's SOC1 Type 2 report was deemed unreliable. And because we utilized Vena for several SOC controls, those controls using these reports were determined to be ineffective. Please note, however, that the material weakness had no impact on our financial statement outcomes. We are committed to the cycle of continuous improvement in our financial process and control environment. Now turning to the discussion for 2022. We're reiterating our guidance provided in the press release dated March 31. In total, we expect total revenue in the range of $694 million to $715 million with a midpoint of $704 million, representing approximately 28% growth over 2021. Included in that growth, we expect sales to be in the range -- with product sales to be in the range of $59 million to $63 million. We expect adjusted EBITDA in the range of $312 million to $322 million, representing 17% growth at the midpoint over 2021. We expect an adjusted EBITDA margin of 45%, which reflects the impact of the full year of Redflex and T2 systems, as well as expected increases in R&D and SG&A expenses to fund continued growth. In commercial services, we expect the trends that have been building over the past 18 months to continue with higher toll fees, increased take rates of our services and more billable days for rental agreement. We are expecting revenue to surpass 2019 levels with growth rates in the low double digits. We should see higher growth rates in the first half of the year and tightening as we cross over more difficult comps in Q3 and Q4. Remember that all the revenue in the segment is service revenue. Government Solutions has both service and product revenue. Service revenue should grow greater than 25% year-over-year, driven primarily by the year-over-year impact of New York City school zone speed cameras installed in 2021 and the full year impact of Redflex. Product revenue, which is more episodic, is expected to be in line with 2021 levels. We're expecting a reduction in New York speed camera installation from 720 cameras in 2021 to 240 in 2022, creating a nearly $35 million headwind. The decline will be offset by the full year impact of Redflex. Lastly, Parking Solutions revenue is expected to deliver low double-digit revenue growth, driven primarily by strong recurring subscription-based revenue. We anticipate revenue and adjusted EBITDA to decline in the first quarter relative to the fourth quarter -- fourth quarter of 2021 performance, followed by sequential increases in the second and third quarter and then a modest reduction in the fourth quarter level, all of which is consistent with this historical seasonal trends. Lastly, based on the adjusted EBITDA guidance and the expected free cash flow conversion rate of approximately 50%, we expect to reduce net leverage to the range of about 3.3 times to 3.2 times by the end of 2022. And with that, I'll open the call for questions.
Operator: Thank you. [Operator Instructions] And we will go first to Daniel Moore of CJS Securities.
Daniel Moore: Thank you. Good afternoon. Just quickly, welcome, Craig. And Trish, thank you for all your help. You've been tremendous and a pleasure to work with. Maybe start, David, high level question, but you started to touch on this in the prepared remarks. Can you give us a little bit of a preview of the Analyst Day just as it relates to T2 and the strategy for integrating that business and how you plan to leverage it over the longer term?
David Roberts: Yeah. Good question, Dan, good talk to you. What I would say is we've actually spent some time serving our investors and the investment landscape to really hone in on the messages that we think matter most. And I think the clarification of long-term strategy goes to the top of the list. And so I think what you'll see, and I'll just say this structurally is, one, a clear definition of the markets that we play in, what are the dynamics of those markets and how we feel like we compete today and into the future. And then more specifically, how T2 looks to create value in the market it competes within and how we can accelerate that growth through being a part of the Verra Mobility operating system. And so I think that's going to be the principal way you'll see that is, I think, clarifying the broader world of what we would call urban mobility and how parking is a really important part of that globally, and that's why we're excited to have T2 in the family.
Daniel Moore: Excellent. That's helpful. Maybe just the expected cadence of the 240 school zone and speed camera installs and then talk about how much interest you're seeing? You talked about this, but growing interest from other municipalities across the country for similar capabilities?
Tricia Chiodo: So I think the pace is that will be done there starting in the third quarter.
David Roberts: Should be completed by the end of the third quarter.
Tricia Chiodo: Should be completed by the end of the third quarter. So it will look a little bit off from where we were last year, because remember, we started installing the 720 cameras last year in the back half of the year. So you're going to see some probably positive comps in Q1, but negative comps in Q4. So once again, you'll see product revenue being a little lumpy throughout that time frame.
David Roberts: And then maybe on the back half of that question, Dan, I think we continue to see positive momentum in particular in things like speed or speed enforcement globally. I referenced the one opportunity that we won in the Netherlands. There's going to be some others that we'll be able to announce later as well. So I think the trend right now is our friend. And I think globally, we're going to start to see bigger and broader programs in major metropolitan areas in the years ahead.
Daniel Moore: Perfect. And then maybe just last for me. I think you mentioned the synergies from Redflex may be getting pushed out a little bit. Just clarifying the overall synergies you still expect to achieve and maybe what's causing that? Thanks.
Tricia Chiodo: Yeah. I think there's a couple of things in play. I think we needed to just cause regroup. We've got John who's a great addition to the organization who's going to run the organization and create those synergies. But also as we integrate, we lose the ability to separate out what used to be Redflex and what used to be Verra Mobility and it just becomes one entity over time. So I think what you need to look for is just that the North American entity returns to the margins that the legacy Verra Mobility company had. And that's the real sign that synergies are being obtained over time.
Daniel Moore: Very helpful. Thanks again.
Operator: And we'll go next to Dave Koning of Baird
Dave Koning: Oh yeah. Hey guys. Thanks. Nice job. And I guess, I guess, first of all, we don't have great Q1 seasonal data going back, just because the last couple of years were so complicated with COVID. But, maybe Q1 2019 is the best we have and revenue was up very nicely sequentially is up 7%. Are we back to normalized trends? I mean, I would think now is even better actually, right? We're getting -- we see TSA data every day even better than that. So should we be up sequentially in Q1 based on some of that data?
Tricia Chiodo: In a segment or the company as a whole?
Dave Koning: Oh. This is just commercial. Yeah. I'm sorry, just commercial it was up 7% in Q1 2019 in the TSA data is like kind of really accelerating this Q1. So I'm just wondering can it be even better than kind of normal trends, which seem like they would be up sequentially?
Tricia Chiodo: Yeah, we could. I think you're going to see a really -- I think you're going to see a really strong Q1 of 2022. I don't know that they're going to be up sequentially from Q4. Normally, they do drop a little bit. We would expect more likely that this would be -- that this would -- if they were flat, that would be a really good result for us. So I don't know that we're going to see that go up from Q4 to Q1. That's not the normal trend.
Dave Koning: Okay. Okay, got you. Well, that's good to know. And then secondly, on Redflex, I guess, two parts to a Redflex question. One is what's just kind of the organic growth within Redflex itself like relative to what it was in Q4 of 2020? And then, it was down a little sequentially. Is that the normal trend for in Q4?
Tricia Chiodo: I think what you're seeing in Redflex is that their product revenue is really, really lumpy and especially as we converted them into the GAAP accounting requirement whereas previously, they used to be able to take product revenue over a percentage of completion. But in the U.S. GAAP rules, it really doesn't meet the criteria for most of those contracts. So we're -- you're really seeing that you're only recognizing the revenue at the end of the project periods, as the cameras are actually installed and accepted by the customer. So I think that's just making the overall revenue for Redflex appear to be more, lumpy than it normally would. I think the only piece of the Redflex revenue you're going to be able to see going forward is, anything that's on the international segment. And you'll be able to see both the service and project revenue within that segment. But everything that's in the U.S., as David mentioned, with Denver, we're bidding as a collective, and you won't be able to distinguish between a Redflex and a Verra Mobility customer.
Dave Koning: Got you. Yeah. That's helpful. Well, thanks, and yeah great job.
David Roberts: Thank you.
Operator: And we'll move to our next question from James Faucette with Morgan Stanley.
James Faucette: Thanks very much. I was wondering, as you look at your forecast for this year, how are you building in recovery and travel assumptions, or are you looking for a linear improvement through the course of the year versus what we've seen thus far in the first quarter or acceleration? Just trying to get a little bit of understanding how you formulated that.
Tricia Chiodo: Yeah. So we don't necessarily formulate a deep assumption on like, is it leisure travelers, it corporate travel. We've got -- it's more like you said, it's a linear growth that we're seeing, and we're looking at trends as they related to 2019, meaning that as we move through the 2019 time frame, what were the seasonal trends, how did they play out? Because even though travel might be recovering in certain areas, it only concerns us if it's recovering in tolling regions. And a lot of those tolling regions have already seen some of the recovery that was there. So it's more along the lines of, do we expect certain trends in the length of the rental agreement to stay? Do we expect certain things that we've seen in the last 18 months to say like higher toll rates, those are going to stay. I don't see these toll authorities train around and reducing their toll rates anytime soon. And we would expect that maybe driving patterns stay very similar to what they were in the last year. What we did see over the last 18 months is the take rate of our product has increased that people are willing to pay for convenience, and this is a product of convenience. And we're – we believe that those take rates will stay higher as well.
James Faucette: Got it. Got it. And then you mentioned kind of the test and market evaluation in Ireland. It sounds like it's got a lot of vehicles there. What are you thinking about in terms of what next steps are and when that -- we could be looking at expansion and further traction in that region?
David Roberts: I think what we've committed to do with the customers to use once we got fully deployed to use that information to go back and to assess the value of it for their customers as well as the uptake for them as well, and both have been quite positive. What that allows us to do that is to have that sort of walking case study where we can go to other potential partners to say, hey, this is – we're solving a problem. It helps your customers that helps you and makes money for you. And so that was really the opportunity, where our pipeline remains strong in other parts of Europe as well, and we're getting much closer to launching a few pilots in other parts of Europe as well. We've mentioned before that we wanted to get into places like Spain and Portugal, and places like that eventually. So I think all of those are remaining – I think we still remain confident we'll have some of those to announce shortly.
James Faucette: Got it. Great. Thank you very much.
David Roberts: Yeah. Thanks.
Operator: And we'll move to our next question from Faiza Alwy of Deutsche Bank.
Faiza Alwy: Yes. Hi. Thank you. I was hoping you could give us a little bit more color around commercial services and how we should think about the long-term drivers there. I understand that, you were talking about 2022 being above 2019, but I was just thinking about what the expectation is going forward? And whether there are any macro considerations that we should keep in mind? Like do you think, to the extent that there's a recession or anything else like does that benefit you? Does that hurt you? What are some of the puts and takes that we should keep in mind as it relates to your business? Thank you.
Tricia Chiodo: I think – yes. Sure. Thank you. I think on a longer term, we've always said that, we believe that this business is going to grow at 6% to 8%. And – and that has been driven by some of these macro trends. The increase in toll roads, the movement to cashless tolling, all of those things benefit us. And obviously, then there's the rise in the fall of what's actually happening with the rental car companies. But we've proven over time that historically, we've grown at, call it, 12% to 18% in this overall business segment, even when the rental car companies were relatively flat. Now it would be hard to say that, if there was a real recession and rental car companies were de-fleeting again, or where they were in the cycle that it wouldn't impact us, I think it would. But I think some of these other trends that we're seeing will still hold the higher toll rates, the longer rental agreements. I think a lot of those things will still hold during that if the recession happened.
Faiza Alwy: Okay, understood. Thank you.
Operator: And we'll go to our next question from Trevor Bowers of Northcoast Research.
Trevor Bowers: Hi, guys. Congrats on the quarter. Just a couple of quick questions about the toll management business, so how did toll management results in the fourth quarter compared to your expectations prior to the quarter? Would you say the recovery in domestic travel is in line with what you thought or maybe faster or slower?
Tricia Chiodo: I think it's faster than what we anticipated. So the fourth quarter came in, it came in really strong. It came in above where we were in 2019 and the rental car companies haven't returned to full fleet yet. So, if you say that TSA data, although recovering isn't where it was in the fourth quarter of 2019 and rental fleets, although recovering are not where they were in 2019, we were really pleased to exceed 2019 revenue for Q1 of 2021 -- I mean, Q4, sorry, Q4 of 2021.
Trevor Bowers: Okay, great. And that kind of leads me into my follow-up question. So, in terms of revenue per user in the toll management business, how is that compared to 2019, 2021 versus 2019?
Tricia Chiodo: That's not how we look at those stats. So -- I mean, because there's all sorts of factors in there, the toll rates are a factor. The length of the rental is a factor, whether they're using an all-inclusive very usage shape product as a factor. So, that's not a specific stat that we do. We do keep revenue per rental agreement, but I don't know that that's a number we've ever disclosed.
Trevor Bowers: Okay, great. Thanks a lot.
Tricia Chiodo: Yeah.
Operator: [Operator Instructions] We will go next to Louie DiPalma of William Blair.
Louie DiPalma: Good afternoon, David, Tricia and Craig.
Tricia Chiodo: Afternoon.
David Roberts: Hi.
Louie DiPalma: Tricia, congrats on helping lead Verra where it is today, and Craig, congrats on joining the Verra team.
Craig Conti: Thank you.
Tricia Chiodo: Thanks.
Louie DiPalma: For David, in February, you indicated that Verra was still negotiating with Hertz in regards to the tolling contract. Was there any update on that negotiation has seen that everything is status quo based upon the guidance and the implied growth. I was just wondering if there is any update with the negotiation?
David Roberts: Yes. I think your -- what you surmise is correct, meaning we still feel very good about it. We have not yet signed the final contract. We are -- I would say, we're in the -- I don't know what inning would we say, we're in the 8.5% inning, and we're getting very close. As you can imagine, with the recovery and with fleets, the challenge they've had keeping their fleets up not just hurts, but all of rental car, they've obviously had other things. They've also had a major leadership change in the last couple of weeks. So given that there's been some other priorities that they've been working on, but that also speaks to the fact that we've had a long-standing relationship that is quite reliable that we can continue to work forward under the current contract, and we'll have a renewed agreement here shortly.
Louie DiPalma: Great. And I was also wondering, David, what are you seeing thus far with strategic synergies with T2 Systems and your photo enforcement division?
David Roberts : Yes. So right now as you recall, we weren't targeting sort of the cost synergy. We're really leaving T2 is more of a portfolio model. And so what we have started to see is two things. One is, what I would say, cross pipeline opportunities, meaning people within the photo enforcement business are looking for potential parking opportunities for T2 and vice versa. It's mostly us looking at our municipalities and bringing those to T2, which is by the way, that was the strategic concept that we would have -- that we talked about. And then two, as I mentioned earlier in my opening comments, we definitely see this opportunity as curbside management does a collective significant opportunity. And so there will be, what I would call increased collaboration as we think about go-to-market or on curbside. We've got some time. That market isn't fully activated yet, but I think we've got the right platforms between T2 and Government Solutions to be real played in that space.
Louie DiPalma: Great. And do you intend to be very acquisitive in that curbside management market? And the reason I ask is for rental car tolling, you have a 100% market share in the U.S. and for photo enforcement, you have the 75% market share. But for parking, it's a very fragmented market, and you just began with T2 Systems. And so should investors think of this as a roll-up opportunity for you, or do you have like the foundation with T2 to organically expand and grow at your own pace?
David Roberts: Yes. So, a couple of ways to answer that, Louie. The first is, are we going to be acquisitive period? Yes, I think you've seen that. We will continue to run our traps as we look across the landscape of smart mobility to deploy capital when it makes the most sense through acquisition that we believe that we can grow and expand, diversify and return value to shareholders.  Two is, do we see that in parking to your point, is very, very fragmented, but in particular, in the United States. One of the reasons and as you know, we had some questions about the price we paid around T2, when we acquired the asset is that, it's one of the larger, most profitable in the industry here in the US. And so that was one of the reasons we were so excited to get it.  I think what we would say is that, with that and the municipal base we have in government solutions, we have a pretty good foundation. But as we think about curbside management, there are obviously other incremental technologies that are at play in that, and we would certainly consider -- we will always consider M&A when it's appropriate. I don't know that we have a specific roll-up strategy as it relates to parking at this point.
Louie DiPalma: Okay. That is helpful. Thanks, everybody.
David Roberts: Thanks
Tricia Chiodo: Thank you.
Operator: And we'll go to a follow-up question from Daniel Moore of CJS Securities.
Daniel Moore: Yes, thank you again. Trish, you alluded to this, but as travel has come back and come back a little faster, have you seen any changes in average terms of the contracts, any reversion to the mean in terms of usage, miles driven length of contract terms, or are we all generally still pretty well kind of above pre-pandemic levels, at least at this stage?
Tricia Chiodo: We don't get miles driven. We get – we do get length of rental agreement, and that has remained longer than 2019 for most of the pending time period, including the back half of 2021. And we are seeing that we're getting more billable days per contract, which is awesome because they're keeping for longer and then more days, they're using tools more often in that contract. So that's fairly consistent.
Daniel Moore: Okay. No change yet, at least as of yet. That's perfect. Thank you again.
Operator: And with no other questions in the queue, that does conclude the question-and-answer session. And this concludes today's call. Thank you everyone, for your participation. You may now disconnect.